Operator: Good morning, ladies and gentlemen, and welcome to the EastGroup Properties, Inc. Fourth Quarter 2024 Earnings Conference Call and Webcast. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. This call is being recorded on Friday, February 7 of 2025. I would now like to turn the conference over to Marshall Loeb, President and CEO. Please go ahead.
Marshall Loeb: Good morning, and thanks for calling in for our Fourth Quarter 2024 conference call. As always, we appreciate your interest. Brent Wood, our CFO, is also on the call. And since we'll make forward-looking statements, we ask that you listen to the following disclaimer.
Keena Frazier: Please note that our conference call today will contain financial measures such as PNOI and FFO and that are non-GAAP measures as defined in Regulation G. Please refer to our most recent financial supplement and to our earnings press release, both available on the Investor page of our website and to our periodic reports furnished or filed with the SEC for definitions and further information regarding our use of these non-GAAP financial measures and a reconciliation of them to our GAAP results. Please also note that some statements during this call are forward-looking statements as defined in and within the safe harbors under the Securities Act of 1933, the Securities Exchange Act of 1934 and the Private Securities Litigation Reform Act of 1995. Forward-looking statements in the earnings press release, along with our remarks, are made as of today and reflect our current views of the company's plans, intentions, expectations, strategies and prospects based on the information currently available to the company and on assumptions it has made. We undertake duty to update such statements or remarks, whether as a result of new information, future or actual events or otherwise. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results to differ materially. Please see our SEC filings, including our most recent annual report on Form 10-K for more detail about these risks.
Marshall Loeb: Thanks, Keena. Good morning, I'll start by thanking our team. They worked hard throughout 2024 and what wasn't as a consistent cooperative environment. I'm proud of the results they achieved within this backdrop. Our fourth quarter results demonstrate the quality of the portfolio we've built and the continued resiliency of the industrial market. Some of the results produced include funds from operations rising 5.9% for the quarter and 7.9% for the year, excluding involuntary conversions in each year. For over a decade, our quarterly FFO per share has exceeded the FFO per share reported in the same quarter prior year, truly a long-term trend. Year leasing was 97.1% with occupancy at 96.1%. Average quarterly occupancy was 95.8%, which although historically strong, is down over 200 basis points from fourth quarter 2023. Quarterly re-leasing spreads were 47% GAAP and 29% cash. Year-end results were 50%, 30% and 36% GAAP and cash, respectively, and cash same-store NOI rose 3.4% for the quarter and 5.6% for the year despite occupancy declines in each period. Finally, we have the most diversified rent roll in our sector, with our top 10 tenants falling to 7.2% of rents, down 70 basis points from year-end 2023 and in more locations. We view our geographic and revenue diversity as strategic paths to stabilize future earnings growth regardless of the economic environment. In summary, we're pleased with our 2024 performance, including a record amount of square footage leased within the operating portfolio this past quarter. Alongside that, we're seeing an uptick in prospect activity. We need to convert these into signed leases, but are optimistic about the prospects for an improving economy or the lack of new supply. Green shoots may be an overused term, but we're hopeful it continues, which should build into a stronger latter 2025. We're focused on value creation via raising rents, acquisitions and development. This allowed us to end the quarter 97.1%, continue pushing rents throughout the portfolio. We're excited about the acquisition opportunities we announced, which closed late fourth quarter. In Dallas, we acquired 4 fully leased buildings adjacent to the DFW Airport, increasing our ownership in the submarket to roughly 2.7 million square feet. In late December, we closed on 4 fully leased buildings, growing our presence in the [ Season Valley ] of Phoenix. Overall, our acquisitions are guided by 2 criteria: one, to be immediately accretive and secondly, raising the long-term growth profile of the portfolio, thus creating NAV per share. Additionally, in each of these cases, they allowed us to grow our presence within an existing fast-growing land-constrained submarket. As we've stated before, our development starts are pulled by market demand within our parks. Based on our read through, we forecast 2025 starts of $300 million. We're projecting the majority of the starts in the second half of the year. While activity within our development program is improving, decision-making remains methodical with prospects focusing later in the construction process. In terms of starts, we'll ultimately follow demand on the ground to dictate pace. Longer term, the continued decline in the supply pipeline is promising. The construction pipeline is at its lowest level since early 2016. Assuming reasonably steady demand, the market should tighten in 2025, allowing us to continue pushing rents and create development opportunities. As demand improves, our goal is to capitalize earlier than our private peers on development opportunities based on the combination of our team's experience our balance sheet strength, existing tenant expansion needs and the land and permits we have in hand. Brent will now speak to several topics, including assumptions within our 2025 guidance.
Brent Wood: Good morning. Our fourth quarter results reflect the terrific execution of our team, the resilient performance of our portfolio and the continued success of our time-tested strategy. FFO per share for the fourth quarter was $2.15 per share to $2.03 for the same quarter last year, an increase of 5.9%. From a capital perspective, we continue to access the equity market. During the quarter, we directly issued common shares for gross proceeds of $159 million settled forward shares agreements for gross proceeds of $308 million with an additional settlement of $37 million after quarter end. Collectively, the [indiscernible] in the fourth quarter transactions were initiated at an average price of $178 per share. As of today, we have $30 million in outstanding forward agreements and full capacity on our $675 million credit facilities. In December, we repaid 2 unsecured notes totaling $120 million. After quarter end, we refinanced $100 million unsecured term loan, reducing the credit spread by 30 basis points resulting in savings of approximately $1.5 million over the remaining 5 years of turn. Although capital markets are fluid, our balance sheet remains flexible and strong with record financial metrics. Our debt to total market capitalization was 15%. Our debt-to-EBITDA ratio is down to 3.4x and our interest and fixed charge coverage ratio is 11.5x. Looking forward to 2025, FFO guidance for the first quarter is estimated to be in the range of $2.05 to $2.13 per share and $8.80 to $9 for the year. Those midpoints represent increases of 5.6% and 7.1% compared to the prior year excluding involuntary conversion gain as a result of insurance claims. Please note that approximately 37% of the estimated annual G&A expense is expected to occur in the first quarter primarily due to accelerated expense for employees who are retirement eligible under our equity incentive plans. Our rent collections remain healthy with tenant defaults being contained to a handful of larger customers. With our tenant watch list holding steady, we anticipate a typical run rate of approximately 30 basis points of revenue for uncollectible accounts in 2025. Notable operating assumptions that comprise our '25 guidance include an average occupancy midpoint of 96%, cash same-property midpoint of 5.9%, $300 million in new development starts and $150 million in strategic acquisitions. Our projected capital proceeds of $450 million are budgeted to be a combination of equity issuance and revolver use. There are 4 debt instruments scheduled to mature in 2025 for a modest total of $145 million. In summary, we are pleased with our solid 2024 results and thank you, EastGroup team members that are listening to the call today. As we turn the page to 2025, we will continue to rely on our financial strength, the experience of our team and the quality and location of our multi-tenant portfolio to lead us into the future. Now Marshall will make final comments.
Marshall Loeb: Thanks, Brent. In closing, I'm proud of our 2024 results, and I'm excited about the landscape for 2025. Internally, we continue growing earnings while strengthening the balance sheet. Others have described the environment as churning which feels about right. Within this backdrop, we're doing 3 things. First, we're working to maintain high occupancies while pushing rents. Second, we're continuing forward with development starts where submarket opportunities allow. And finally, over the past 2 years, we sourced several attractive new long-term investment opportunities something which is much more [ active ] in a steady market. Stepping back from the near term, I like our positioning as our portfolio is benefiting from several long-term positive secular trends such as population migration, near-shoring and onshoring trends, evolving logistics change and historically lower shallow bay market vacancies. We also have a proven management team with a long-term public track record, our portfolio quality in terms of builds and markets improves each quarter. Our balance sheet is stronger than ever, and we're upgrading our diversity in both tenant base as well as geography. Finally, I want to take a moment to congratulate our friend and board member Eric Bolton on his upcoming retirement from MAA. Not only has Eric made a positive lasting impact on MAA, but in his spare time, he's done the same here at EastGroup. We'll now open up the call for any questions.
Operator: [Operator Instructions]. Our first question comes from the line of Andrew Berger from Bank of America.
Andrew Berger: This is Andrew on for Jeff Spector. Marshall, you mentioned the word green shoots earlier. I'm just curious if you're seeing this in any particular market?
Marshall Loeb: I wouldn't say -- thankfully, no. I mean yes and no. It's not limited to any market. It felt pretty broad-based, really kind of late last year where prospect activity. And again, it's got to start somewhere, seem to pick up. And thankfully, that's continued into this year. So even in -- as we've said before, California has had some credit challenges for us and been a slower market and we've got pretty good signs vacancy that we're making headway on in L.A. But even there, the activity has picked up. So again, could it -- it could turn next week, but we're encouraged by it and we just need to convert those tours and proposals and letters of intent into sign leases. But I'm encouraged that it's not in just Florida or just Texas or anything like that. It's pretty broad-based across the portfolio.
Andrew Berger: Got it. I appreciate that color. And maybe as just a follow-up. I know your portfolio is more focused on consumption, but obviously, with tariffs being pretty topical over the past several weeks, I'm curious if that's come up in any conversations with your tenants and any themes that are worth calling out?
Marshall Loeb: No. It's not come up in any tenant conversations that I'm aware of. I do think it's got to affect how people think about them, and we can talk a little later in the call as well about it. To us, it really affirms as you mentioned, this is why we want to be near the consumer. Look, if your shoes come made in China or Mexico or in the U.S., we just want to be near where that customer is buying their goods and services. And that's why we try to historically heard clear of ports, even though we're in some port cities, we steer clear the port because that seems much more volatile where that end user last mile consumption is more sticky and so we view it as a way to really kind of smooth out or avoid earning shocks by staying there ideally near the consumer and ideally, which in most cases, we are a growing consumer base.
Operator: Our next question comes from the line of Alexander Goldfarb from Piper Sandler.
Alexander Goldfarb: And I forget if it's 1 or 2 questions, but it sounds it like it was 2. So just with that in mind, Marshall, on the development side, I think you said it was record leasing. It's an operating portfolio, but the development leasing was a little bit slower, but then you commented that you want to ramp development. So are you anticipating a return of the eventual development demand? Or are you seeing it real time where your positive development comments are supported by increased expansion demand by tenants?
Marshall Loeb: Yes. Our preference just -- great news is we have a lot of analysts that follow EastGroup. So we were trying to keep it to one just to keep the trend moving.
Alexander Goldfarb: I'll keep it to one. I'll keep it to one.
Marshall Loeb: All right. Thanks, Alex. But I thought our development -- look, last year, we brought our development starts down. That's the first time we've done that in several years, but we didn't see the leasing in the market. This year, if you look at our time line, our -- we started several in fourth quarter. It's really submarket-by-submarket, our development starts are projected to pick up kind of from the field this year. Most of those are the back half of the year. And it's a combination of supply day is at an 8-year low. If anyone wants to -- in our investor roadshow, there's a slide, I believe it's about Page 16 that will show where vacancy is by product size, and it really speaks to the lack of supply or the lower supply in Shallow Bay. So there's not a lot of supply. There's not a lot of vacancy in our sector. And starting late this year, again, giving it call it, 9, 10 months to deliver the building, we'll underwrite a year to lease it up. We think starting later in the year, given the activity we're seeing today, demand is going to tighten, and it will be a good time to step on the gas again for a while on development. And that's really what's modeled in our guidance is probably tenants moving into developments later this year, second half a lot more frequently and development starts picking up in the second half of the year as well.
Operator: Our next question comes from the line of Craig Mailman from Citigroup.
Craig Mailman: Just want to touch on the delevering you guys have been doing, when I look at the balance sheet, right? You guys are down to 3.4x debt to EBITDA, and you issued some equity that was relative to us, a little bit below NAV. Just kind of trying to get a sense of, are you guys trying to position the balance sheet to do a bigger transaction? Or is the capital deployment on the development side, just not pencil with where debt rates are today? Just trying to get a sense of where you think the optimal leverage is for you guys? Or is this just kind of building capacity for the future?
Brent Wood: Yes, I'll jump in. Craig, yes, it's not intentional that we're trying to drive the balance sheet down for any particular purpose or delever the balance sheet. We certainly have ceilings, which we're nowhere near, but metrics on the top end that we don't want to be above for a healthy balance sheet. But it's really the byproduct of a unusual but an extended period where we have viewed equity as being the best cost benefit spread investment capital opportunity relative to debt or even in past years, even compared to something like the revolver even. So yes, our issue at this past quarter on the -- probably at the lowest end of where we'd ideally want to be, we view it without getting into our NAV, but in and around NAV that's obviously not an exact science, there's quite a range. If you look on the FactSet or S&P amongst the groups that follow us there's probably at least like a $50 per share differential there in thoughts. But we're really more looking at the cost spread. And I guess I'd point out that really the reason we're issuing is, thankfully, our team has continued to find via acquisitions like the fourth quarter, where they 3 stellar acquisitions and the development. So we've had good reason to get raised capital. We're really trying to be able to execute on those opportunities that they're pulling up. So our goal is certainly, Craig, I think this year, in our guidance, we're budgeting for the first time in a couple of years, more of a mix between using the revolver, which is at a low 5 right now. And equity, I think we'll be more willing to carry a balance on the revolver a little bit more. But look, it's fluid. And ideally, when rates -- and there's not a lot of hope early part of the year but somewhere down the line, if rates come more in check with what we view the revolver and/or equity cost-wise, we view that as looking long term in EastGroup as a great opportunity and a great tailwind for us where we can unleash a lot of capital and a lot of opportunity. But a summary of that is it's really just been the byproduct of our evaluation and not anything intentful.
Craig Mailman: Okay. That's helpful. I just -- I'm going to sneak a second one in here. On your comment, Marshall, around kind of development decision-making is later in the process. I know historically, that had been the case in this last cycle, pre-leasing was happening. Just can you give us a sense on the tenant pool for the available development space you have and even the Starship space and comp space that you guys got back?
Marshall Loeb: Sure. I love both, I would say the tenant pool, which is felt better, maybe I'm organizing my answer. It makes sense to me when you think about why tenants are taking a little longer, when supply picked up to such a degree, every prospect has a tenant broker and they want to make sure the space is ready when they're telling their clients, it's available. So now with finished options or second-generation options, they don't want to -- their avoidance is we don't want to say your -- Craig, your space will be ready in June, and it's not ready until August. So they've had the luxury of being able to wait and kind of during the peak their fear was missing out on space. So it really ramped up our own development because everything we were building was finishing out. We've always underwritten a year to lease up. The good news, unlike, say, the GFC, we have names and prospects there as one of our guys said, I would offer more free rent, but I don't have any -- I don't know who to offer it, too. Here, we do have tenants and active negotiations, it just takes -- decision-making has run up. I've seen some graphs from one of the brokerage groups where it was about 9 months to make a decision. I think it's first half of the year slowly turning. For the first time, I can think of a couple of spaces we've had in the last 30 to 45 days where tenants have lost out on space. And I always fill for that tenant that didn't make a decision in time and the space is gone, but we've not seen that in at 18 to 24 months. So I think given where supply is an 8-year low and vacancy really low, that it's going to cause those tenants to fill a little more sense of urgency. And then on our -- again, that's our opportunity set. If I think of this year, really at one. I think we budgeted what we expect will happen as things get better and signed and move in the back half of the year. We feel good about the activity today. If it happens earlier, we'll build more. And if it doesn't, we'll do what we did last year and develop a little less. But -- and even on, say, the contents, which is, I guess, for other listeners, 300,000 feet in Charlotte, and we had Starship, which is 260,000 feet in South Bay, the ports of L.A. and Long Beach that went we had bankruptcy issues both in fourth quarter. So we don't have that many large tenants, but we have 20 tenants over, say, 200,000 feet and a little bit of a perfect storm where two of them went bankrupt both in fourth quarter, struggled during the year and then went bankrupt. But we've got good activity without getting too far over my skis, that we've got the good buildings, and we've got a really good team on each of them. And there, we have active negotiations on both spaces and if I cross not as soon as we get anything signed, you'll hear me yell. We'll put something out but I feel optimistic -- cautiously optimistic on both spaces given the activity we have today, and that's kind of how we're viewing the year. Look, I love the tours. We just need to get people to the cash register.
Operator: Our next question comes from the line of Todd Thomas from KeyBanc Capital Markets.
Unknown Analyst: This is [ A.J. Peak ] on for Todd. So just to piggyback real quick off of Craig's question. Could you just quantify a little bit the development leasing in regards. So I think back in November, you said that the decision making is taking 15 to 16 months. Previously, it had been within that 12-month time frame. Could you just quantify? Or is it still kind of that 15-, 16-month time frame?
Marshall Loeb: It's more similar. I think it's slowly turning and what's been, I guess, telling to us a little bit in our -- maybe our development pipeline really is Page 11 and 12 in our supplement. But when I look at what we've finished for the last couple of years, even with kind of an elongated completion time where things -- we'll underwrite 12 months, but maybe they went from taking 6 -- to 15 to 16. What we delivered last year came in at a 7.8% yield, which is higher than we underwrote, even though it took -- had more carry on it. So it's not that we're getting so much pushback on rents and TI and kind of economics. It is just getting someone to say we're ready to go. Renewals as a percentage of leases signed are up nationally. If you -- they're kind of in the 30-something percent where they were running in the 20s for the last, call it, 4 to 6 quarters. So I think that will come down. And it feels like it's turning, but we're in early innings on that turn. And I think it will take people when they start to feel like we need the space. And if we don't make a decision, we're going to miss out and that's really what happened last time. I don't think we'll get to the frenzy we had last time. It led to some of the challenges, I think, that we have in Los Angeles today and it was really the outlier on that kind of frenzy and everybody got into industrial development. But hopefully, it doesn't get overheated, but it feels like -- look, we're in a cyclical business, it slowed down, and it feels like this year is turning and we've been seeing that activity in the last couple of couple -- call it, mid fourth quarter through today. We're happy with how the year started. We're a little ahead of where we thought we would be, but and I hope we can keep that momentum up later in the year.
Unknown Analyst: Okay. That's helpful. And then just real quick, how are you thinking about rent change in '25? I guess, what sort of range would you expect to achieve on new and renewal leasing? And how far through the 2025 lease expirations are you? And what has rent changed looking like so far year-to-date on that pool.
Brent Wood: Yes. In terms of -- and I'll let Marshall maybe touch on what he's thinking on rent changes for the year, but I'd point out that our exploration schedule for the year. We've decreased that even since putting the supplemental together. That's down to just 8% turn remaining for the year of 2025 expirations. We report rent change as signed leases so a lot of the lifting on the '25 expirations and renewing those tenants occurred in '24. As we sign those leases, we reported the results. I would just say we've been pretty consistent here. It's plateaued, but it's at a very good level. We still are seeing strength in our rental rates, running that 50% gap increase, and we're seeing that beginning of the year pretty consistent with that. So we're not feeling headwinds to Marshall's point earlier, it's been more once you get somebody that needs the space and you get the foot trap somebody committed getting the rate that you need really hasn't been the obstacle because of the tight supply is just getting the traction and the showings increase, which is good to see the signs of that picking up. But -- so we're seeing -- what I would describe maybe is on the average at the end of the year, if you tell me it would be slightly below what we ran in the last couple of years, that wouldn't surprise me, but it still feels like that's a pretty strong category of rent change that is.
Operator: [Operator Instructions]. Our next question comes from the line of Rich Anderson from Wedbush.
Richard Anderson: Okay. Just a 5-part question here, just kidding. I'll [indiscernible] the line. Marshall, I just want to make sure I better understand sort of the cadence of your developments and the $300 million of starts. In the past, one development informs the next, just from the -- on the ground activity that you saw and it gives you the confidence to go forward. Is that sort of not exactly happening yet, but what you see is so much less supply. So you want to be in front of it before and prepared for that. perhaps to start to come together later this year. So is it sort of like sitting in the abstract a little bit right now in terms of how you typically start developments but you feel like it's going to come eventually. So you're sort of talking about starts in the $300 million range. Do I have that kind of right? Maybe you can just sort of fill in the blanks.
Marshall Loeb: Good morning Rich, I'll give you a 5-part answer. And you're right, it's mainly the former. Look, I think one of the beauties of EastGroup at a pretty simple model, so people like Brent and I can manage the company. But once the building is pretty much finished, we'll build the next one, and that's what we stuck with when things are good and last year when things were a little slower what we started in fourth quarter. And you're right, it really is on the ground. It was submarket by submarket. We started several buildings in fourth quarter, even though things were slow, but of the 5, 1 was the second building in Tampa because the first building, the team got 100% leased. And then the other were markets where -- and similar in Greenville, South Carolina, Greenville, Spartanburg, where we didn't have development and active development. And we certainly don't want to lose and that we've lost within our top 10, we lost one of our spaces with the tenant because they outgrew us and we didn't have the development ready in time to accommodate them. So it's mainly that pulling the next ticket as inventory starts to decline in that submarket. And then a little bit where maybe you're right, we're back end of the year, there's a little bit -- that's maybe the science where there's a little bit more alchemy to it is that we do think and we don't want to get too far out ahead but so many of the private developers have been sidelined and still need to go tie up the site, zoning and permitting as harder than it's ever been for industrial today. So that will take them time. And we think there will be a period especially early on in the Shallow Bay world where there's not much private competition, and we want to be able to one to accommodate our own tenants growth or the tenants that are around the corner and down the street. So there's a little bit where I think the market will give us a nudge on development starts towards the end of the year. And our own just -- and the team in the field feels like we're going to finish Phase II, roll into Phase III and that type of thing. So that's where the $300 million, again, it's back-end weighted. We realize we've got -- it's pretty easy to see our task at hand looking at our under construction schedule, there's some number -- there's a lot of space there, but that's our that's our opportunity. If we can get out ahead of that and have some leases come in earlier, given the activity than what's in the budget, but we'll do our best and the teams on it. But it's -- we'll follow the field and when the market is saying it wants more supply. But I think you're right. Our sense is there's a squeeze coming. And I've been predicting it too early. I would have thought it would have happened last year. So I've been wrong before, but it feels like coming a little bit late back half of this year.
Operator: Our next question comes from the line of Nick Thillman from Baird.
Nicholas Thillman: Maybe I just wanted to touch a little bit on the pickup in leasing costs in the quarter. Obviously, some of it could be related to just mix with the more new leasing. Wanted to get a little bit more color on that? Was there any individual leases that we're pulling that number up? And then also, Brent, maybe just any comments you have on expectations for retention in 2025?
Brent Wood: Yes. I'll jump in, Nick. It really was just the -- if you look over the last couple of years, we've been pretty consistent, looking back at our cost per lease per year of lease being around just under $1 around $0.90 or so for '22, '23, that for the year increased to $1.8. It's pretty equal between the tenant improvement and leasing committed component and really not so much specific leases, Nick, but it's really a combination of inflationary pressure on TI is just simply more expensive to build on a per square foot basis, office component, repaint [indiscernible]. And we've been very thankful. We talked about this 50% increase in rents, that goes hand in hand with you apply a percentage of leasing commission to that rent those have been going up with that as well. So I would say that's just been operational, nothing specific there. I think if inflation can settle out and I hope that the leasing commission side continues to tick up some. It would basically mean that we're pushing rents and you're applying the same percentage to it, and that goes up. But nothing there. We had a good year, a good fourth quarter at 78% retention for the last couple of years that we've been right at 2/3 as an average. We don't have anything at this point that would make us think that, that would -- that's a pretty standard run rate. It wouldn't be uncommon to see that get in the 70s probably but we don't have any -- I guess I'd take this time to point this out. We don't have any specific large tenant that we're worried about per se in terms of a known vacate or that type of thing. Obviously, we have a couple of the spaces that went vacant in the fourth quarter that Marshall talked about. But so I would expect a similar cadence across the board on all those topics to what we've experienced the last couple of years.
Operator: Our next question comes from the line of Eric Borden from BMO Capital Markets.
Eric Borden: Brent, I just wanted to go back to your comments around the bad debt guidance assumption of 30 basis points. It sounds like that is just general conservatism for the year? Or correct me if I'm wrong, is there any specific tenant that, that was allocated to? And then I was just curious if I get your thoughts on your current thinking for lease termination income for the year.
Brent Wood: Sure. And we did get some inquiries about -- I guess I'll just address this here about not having the specific line items of term fee income and bad debt that we've had in the past. We have pulled some specific line items of that back and more to come later in the quarter, but us and some of our key peers are continuing to work on our harmonization efforts. It may predate some of you, but going back to 2017, us and some of our peers synchronized all of our proactively aligned our definitions of how we define things and report things for non-GAAP measures and kind of bruising that up here lately with the group, we began to realize we're the only group that was specifically aligning those out. But looking at '25, the 30 basis points and that comes in at around $2.2 million or so that we have dialed in pretty evenly through the year. It's not tenant specific. That's actually about 1/3 less than what we incurred in '24. A couple of things to note there. Our tenant -- I would describe '24 as a frustrating year from an uncollectible rent standpoint. Our watch list remain very constant and very low and moderate, but we had 4 tenants that really drove the bad debt, one specific, the Starship tenant fourth quarter that wound up being about 30% of our bad debt for the year with that one tenant out of a portfolio of over [ 400 ] different tenants. And then about -- the top 4 tenants comprised about 70% of our bad debt. And as Marshall touched on, it's atypical for us, but some of the tenants in the larger spaces contributed to that. I would just note -- so we're we anticipate sort of a similar watch list. We just aren't budgeting or hoping for not anticipating the stars aligning on some of those bigger tenants coming through there. And I would just point out, as of today, our 17 or 18 tenants that are above 200,000 square feet in our portfolio are all current. And the tenants -- 4 tenants that did drive that last year in one way, shape or form, we've resolved those issues and those aren't lingering and going to drag into uncollectability into this year. So with all that said, yes, we're about $2.2 million dialed in for bad debt for the year, about $1.1 million of term fee income. That's not specific to a tenant either. That's just what we have dialed in. And so when you net the 2, you're really at about $0.02 a share net, again, another reason that we kind of pulled those line items back. But the net between the term fee income and the bad debt, we've got dialed in as a couple of cents a share. So we're cautiously optimistic from what we're seeing so far and having cleaned some of those troubled tenants up that we're looking for more of a historical run rate at that 30 basis points this year.
Eric Borden: Thank you, I appreciate it. I'll leave it there.
Operator: Our next question comes from the line of Blaine Heck from Wells Fargo.
Blaine Heck: We saw some interesting and maybe counterintuitive moves in the operating portfolio lease rates in some of your markets quarter-over-quarter. So I was hoping you could comment on the decreases in Texas markets, San Antonio and [ Port Wharf ] in particular, and then increases in California where San Francisco, L.A. and San Diego saw a pretty significant positive movement, whether those are driven by specific situations or be more indicative of any trends that you're seeing in those markets?
Marshall Loeb: Blaine, it's Marshall. I'm kind of organized it. In San Francisco, the team did a good job of backfilling some vacancies there. So we're -- really, for the moment, when I think of -- as I think of California, we've got and we've talked about the 260,000 feet in Dominguez is a vacancy. And then we've got -- which was another bankruptcy 68,000 feet in North County, San Diego. And those are really our main vacancies are kind of our task at hand this year. We're pretty full at the moment in California. There's a lot of tenants, and there will be some moving parts throughout the year. So that feels pretty good. Charlotte, as I think about bankruptcy, still it took a pretty good hit on its occupancy in fourth quarter, but that was really the 300,000-foot cons bankruptcy. At the moment, we're -- our prospect list for both is they could both be subdivided into really 2 in L.A. and maybe 3 tenants in Charlotte, we're talking to one tenant in each location. So we'll get those backfilled. It's probably more a function of just that space and that market are really in each of those cases, is a perfect storm, 2 big tenants went bankrupt and pulled our vacancy down. And our deliveries and some of the Texas markets, I'm thinking like in Austin, for example, we delivered Stonefield. It's just south of Austin and Hays County good location, good building. It's near the buildings we acquired last year around the corner from those. We like the market. There's a lot of -- if you said what markets have you watched the developments supply more closely, we would say Austin and Phoenix. And so we're kind of caught there. And we like Austin a lot long term. That Hays County market has a lot of supply right now. So when we delivered there that pulled that vacancy rate down. So those are kind of some of the moving parts and then others are just kind of tenants moving backward. We've got some space out in Fort Worth. It's not a big denominator in Fort Worth, but in our Park North project, we'll get it [indiscernible] and we're making headway out there. But that's -- it's really a space here or maybe a long-winded way of saying a space here or a space there and the markets kind of jumped back kind of like they did in San Francisco, 1 or 2 tenants can be the needle pretty materially within our portfolio.
Blaine Heck: Okay. Great. Sounds like more specific situations, which makes sense. I'll respectfully leave it there.
Marshall Loeb: Thanks for articulating it much more concise and for leaving it there. Thanks.
Operator: Our next question comes from the line of Steve Sakwa from Evercore.
Steve Sakwa: I was wondering if you could just provide a little commentary around the pricing on the acquisitions in the fourth quarter. And maybe just the capital flows that you guys are seeing. And I know acquisition cap rates can kind of be all over the board. But do you think about unlet IRRs? And where do you think unlevered IRRs are for industrial today?
Marshall Loeb: Steve, maybe a couple of thoughts. I'll say that the team did a good job of finding these 3 acquisitions, all a little bit -- each was a little bit different and that -- starting in '23 and through '24, a number of the acquisitions we bought were really the second time it came to market that something that happened, it came back to market. And that's a little bit what happened in the Phoenix or that is what happened in the Phoenix acquisition. It's a good infill site [ Mako ], who runs Arizona for us among his markets, really, it approached the seller and stayed in touch. And we were able to tie it up kind of sticking within our confidentiality agreement, a little better mining that on all 3, they're all what we liked about Atlanta, Dallas at DFW, it's the same seller we acquired. We're right at the cargo terminal, what we like about it at DFW and just to the north of us are [ Frisco ] and some pretty strong higher-end residential communities. So those buildings can serve either direction. We've got over 2.5 million square feet in that submarket. And strategically, we were able to buy the buildings right across the street from 4 others we own. So in terms of accommodating tenant growth, we like that. Blended on a net effective rate, we're probably -- so maybe on a straight-line rent, we averaged a little north of a 6 yield. I think those were all above market in hindsight, we saw the acquisition market really tighten up. The second half of last year, surprisingly fast at least to me. I would say we saw cap rates sub-4 and well into the 4s. So we were happy we got these have kind of stabilized yield is probably in the mid-7s on the 3 we bought, which again, I think is much better than where the market is, and we started -- we were able to buy things that were a little bit distressed, whether it was land or acquisitions. We're not seeing those opportunities right now. And as we underwrite -- if we look at the cash return immediately, what the straight line or capital returns are since that's what we'll report and then what the mark-to-market is. And ideally, that mark-to-market the first few years because we -- I respect the people and we do look at an unlevered IRR, but as our founder used to [indiscernible], I've never met a pro forma, I didn't like. When you get to a 10-year IRR, there are so many assumptions. And I think if I had run my best at 10-IRR in L.A., for example, 24 months ago, I would have missed it. terribly. So we'll try to stay just within the headlines. And I also think one of the other beauties that [ Astral ] having worked in other sectors is our capital needs are so much less than, say, office or retail -- and so that helps you not lessen that need. We're not replacing elevators or redoing the lobby or some of the things you run into on retail in terms of CapEx. So it's easier for us. We'll we won't run an IRR because we wouldn't have gotten it right on a lot of our acquisitions, but we will look at that first handful of years and what can go right and what can go wrong.
Operator: Next question comes from the line of [ Nikita Bely ] from JPMorgan.
Unknown Analyst: Quick one. What is the rough ballpark expectation for '25 market plan growth in your portfolio? Not the spread, but the actual market plan that you think may be able to achieve in the properties and for your assets? Is it roughly flattish or single digits -- low single digits this year?
Marshall Loeb: Yes. I think -- this is Marshall. I would almost -- I could bifurcate our portfolio between East of California, which is everything and in California, I think the LA market, especially is still stabilizing San Diego and San Franco. We're a little more stable, but those are the markets where the only markets, thankfully, that we've actually seen negative absorption. And so rents maybe are still finding their footing in those markets. That said, all told, and certainly, Nevada, Arizona, East, I would expect -- and our expectations are probably inflation a little ahead of inflationary rate for the first 6 to 8 months of the year. And then I think depending where demand is, given the lower such a low supply level and such a low availability rate in our product type, but nationally is at least a vacancy -- direct vacancy about 4%. So I think there's a chance we could have some higher level rent pick up for the back half of the year heading into 2026, given that it's going to take especially private peers, a little while to get mobilized and start delivering product again. So I think we'll have a little above inflation for the first half of the year. And then I think if demand keeps at the pace, it's currently at, it could get more mid-single digits for the back, call it, 3 to 6 months of the year.
Unknown Analyst: The Southern California is probably still flat to negative for the full year, right?
Marshall Loeb: Yes. I think we -- really LA, I'd exclude -- if I could pull San Diego out of that because it's just a little bit different in Orange County is a little bit stronger, but L.A. still feels like it's it could be moving backwards a little bit. We don't have a lot of data compared to our peers there, but that market really took off at a crazy rate faster than any of our other markets, and it seems to be the market that's going backwards pretty dramatically and still has had negative absorption pretty early for the year and doesn't quite have its footing. So I would -- I do think rents are probably still moving in a negative direction in L.A. That's a big market, but that's our sense.
Operator: Our next question comes from the line of Michael Carroll from RBC Capital Markets.
Michael Carroll: I guess, Marshall, I wanted to touch back on your prepared remarks that you're seeing an uptick in prospect active. I mean can you give us some color on what this means? Is it just that you're seeing increased poor activity? Or are these prospective tenants further along like you're [indiscernible] paper and they're now ready to make decisions where before they weren't?
Marshall Loeb: Michael, little of both. I mean I think we're -- what we've seen is just the pace first, we saw the pace of touring. The brokers are showing someone through the space. And look, that's where it's got to start. But just the number of space tours from the tenant rep brokers started picking up, and we're still seeing that. And then on the back half, there are a number. And look, we'll keep you updated as quickly as we can in terms of things turning into signed leases. It was a little unusual quarter in a good way and that we signed more within the portfolio more square footage of leasing that we have in the company's history in fourth quarter. So that was a great sign. It was a little bit kind of sorting through it. It was a slow quarter for development leasing but a record quarter for the portfolio leasing. But I'm glad in both cases that we've seen the number of tours going up. And yes, we do have a number of letters of intent that are out -- that are signed and a number of leases that are out being negotiated. So again, those can change at times pretty quickly that they may not come back signed, but they're out and the terms are agreed to the earnings are going back and forth. So that's what we feel better in terms of kind of maybe that activity below the water within looking at an iceberg, that, that has really picked up in the last, call it, 45 days, and we hope we can -- two things, continue that and then convert that activity that -- where we are trading paper today.
Operator: Our next question comes from the line of Ronald Kamdem from Morgan Stanley.
Ronald Kamdem: Great. Just a quick one. I just want to -- the occupancy guide of 96, I was wondering if you could talk about sort of the cadence of the year. Do you have a seasonal dip in 1Q and then you build. And then the second question or the follow-up would just be on the -- would love to get an update on El Paso, Phoenix and San Diego, which are some of the near-shoring and onshoring markets and just what your expectations are for this year and what you're seeing on the grounds there?
Brent Wood: Yes, I'll start and then let Marshall speak to those markets. But the cadence to -- we -- a little bit of dip -- basically to Marshall's commentary and a commentary today of kind of showing some optimism in thinking that way as we go through 2025 and really our leasing assumptions, which are driven by the field on a space-by-space basis for us in building our model. But it really stays a little dip here to begin the year. We had some known vacates in spaces like the [ cons ] and [ Dominic ] building that we knew we had coming back. And then making some progress kind of staying pretty steady through the first half of the year and then showing that begin to [ Crescendo ] some and then get up and bring that average up on the back end of the year. So I would say that's more back half weighted in terms of the gains, but we're really not showing once we get going into the year, not showing much more deterioration just kind of a continue to work in those levels and then build it up from there. But I'll let Marshall speak to those markets you asked about, Ronald.
Marshall Loeb: Yes, I think in terms of onshoring near-shoring, I think -- my expectations are that will continue its long-term trend, especially some of the negotiations with tariffs with China and things like that, although obviously, 1 day this week, Mexico had a 25% tariff, it's on hold. I think that has to make it very difficult for manufacturers to plan on building in Juarez and Tijuana and things like that. Maybe Phoenix had some -- the most supply, but it feels like our product type and really our team and then our product have done a really nice job of keeping us full in Arizona, not just Phoenix. And Phoenix is one of our stronger markets, I think, probably surprisingly to people if I said what markets when would we say are strong markets that people reading headlines would I'd say, Phoenix and Houston would be 2 of our better markets that probably would raise eyebrows. And I think Phoenix just the market itself is good. And then I think there will be development in [ Nogales ], and that will help us in Tucson and in Phoenix and that will move there. El Paso is doing well. It's not as strong as, say, Dallas or Houston are compared. But it's -- we're doing well. We're still seeing good leasing activity and rent have leveled out after rising pretty quickly in El Paso. They've more leveled out in the last 12 to 18 months. And then San Diego to a lesser degree, although we certainly like the city of San Diego, it's actually another one where I think I read the stat they were small numbers that have had about 10 quarters of negative absorption in a row in 10 consecutive of course. So San Diego has been slow. I think it will -- feels like it's picking up. We've got one vacancy there today. We've got another tenant that we'll probably vacate later in the first quarter, about 60,000 feet and we'll backfill it. But in order of those markets, we probably feel the best about Phoenix than El Paso, which is good, not great. And then San Diego, I'd love to see the market move to net absorption. That's been the unique factor for the California markets that we just haven't seen in our other work Dallas and Atlanta have had 40 and 50 consecutive quarters of positive absorption. They've had a few quarters of negative absorption in California.
Operator: Our next question comes from the line of Omotayo Okusanya from Deutsche Bank.
Marshall Loeb: Operator, if we could move, please? I think we've missed Tayo.
Omotayo Okusanya: Can you hear me? So I just wanted to kind of go back to guidance for a quick minute. Some of your comments around just to get rating high-end fourth quarter and some tightness in the acquisitions market. I guess that helps to understand acquisition guidance a little bit better versus how much you did '24. But I guess from the occupancy perspective, again, you're not really calling for any increase in occupying in '25 versus '24. But there's been a lot of commentary on the call just around green shoes and improve tours and things like that. So I'm just curious why not a better occupancy guidance, maybe there's some offsets towards some of the green shoots in demand that you've been talking about?
Marshall Loeb: Tayo, thanks. And I think maybe a little on both. One, acquisitions are if it's not the hardest bid line item, it's one of the hardest for us. Again, we want to -- we'll acquire things that make sense, assuming the capital markets or their debt equity. And as Brent mentioned, we certainly have the debt capacity on our balance sheet, that's one. I'll take the blame. Last year at this time, we forecast [ 138 ] acquisitions. And I think we finished at, what, [ 3.90 ]. So I missed them. I hope I missed it that widely again. And we can certainly make the goal, but we want to make the goal and make smart investments for our investors. So we'll watch the market. Again, it does feel like the distress acquisition opportunities have about dried up, we'll find them if we can. And hopefully, we'll stick to our underwriting and our strategy, and we'll do our best to beat the $150 million. But that's just -- that's what's dialed into the budget for now, and I hope we crush it like we did last year. And then in terms of occupancy, as you think about it -- I guess, as I think about it during the year, there's the letter of intent, then by the time you get the lease signed and then the depending what all is happening in the space a couple of months of build-out and then the tenant moves in, and I'll let Brent chime in. But certainly, the back half of the year or towards the end of the year, our occupancy, our same-store NOI builds during the year as we backfill the space as does our occupancy. So maybe it kind of meanders around for the first part of the year and then builds in the back half of the year. So the last quarter's occupancy is materially or higher -- or I'd say materially, it's higher than it is today, it's pretty high today already at 96, but it builds from there, but it all takes a little bit of time envious of the hotel REITs where it takes us -- by the time we reach agreement, sometimes it feels like forever before we can -- for us, probably to get the tenant moved in.
Brent Wood: Yes. The only thing I'd add to that, Tayo, just a reminder, the [indiscernible] space of 300,000 feet and then the Starship space to me is 260,000 being that it's a little over 1% of occupancy right there. So that's taking a little bit of luster off some of the activity, I guess, we're describing. But -- and then obviously, the team is building in leasing that space up later in the year coming right out of the gate. So that's putting a little bit of kind of a governor to the rate at which it moves up beginning of the year as well.
Operator: Our next question comes from the line of Vince Tibone from Green Street.
Vince Tibone: Could you discuss how much incremental NOI from development projects that are currently unlet is baked into '25 guidance? I'm just trying to get a sense of how much spec leasing volumes and the timing of that? And like what's exactly kind of incorporated within guidance?
Marshall Loeb: Yes. I think -- it's Marshall. It's kind of consistent. It builds during the year, the vast majority and again, we have our most coming in fourth quarter probably a little, call it, 40%, maybe not quite that in fourth quarter and around 30% in third quarter. So in total dollars, you're probably -- adding this up as I'm looking, you're probably looking at around $6 million or so in the development pipeline of lease up the year. A little more of that is sign leases today and the other, call it, 45% is spec leasing, and it really kind of falls in line to mostly in the back half of the year. And that also mirrors helps why our starts are higher in the back half of that -- those buildings get leases signed and move-ins happen that kicks that next level, that next phase of the park. So again, maybe all told about 6 million and the majority of that is the back half of the year. And that's -- I'm sorry, go ahead.
Vince Tibone: No, no, go ahead didn't mean to cut you off, Marshall, sorry.
Marshall Loeb: I just wanted to say, that's our opportunity. Look and get out ahead of that timing. That's our opportunity in terms of where the -- this is our budgeted FFO and our goal is to beat it where it comes out. And -- and I'm sorry, you had a comment, Vince.
Vince Tibone: No, I just wanted to confirm because you had a lot of helpful numbers and I'll have to look at the transcript. But the $6 million that you mentioned, that's like incremental leasing. That's not any leases that were signed in '24 thus far. I just wanted to confirm that kind of...
Brent Wood: Yes, Vince, this is Brent. Just to jump out. We've got about $15.8 million down in for the year, and it's roughly about half of that is already signed lease has spoken for. And again, we've got to get those tenants in and commence, but about half of that is more speculative leasing to occur. And as Marshall pointed out, that's more heavily weighted in the third and fourth quarter. And so just to put exact percentages to about 53%, of that 15 points has already signed into the books and then another 47% that's in the back end of the year to be done, to be executed.
Operator: There are no questions at this time. Presenter please continue.
Marshall Loeb: Thanks, everyone, for your time this morning. Thanks for your interest in EastGroup. If we didn't get to your question, Brent and I and the team are certainly available. And we hope to see you in the next month at the next conference. Take care.
Brent Wood: Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.